Operator: Ladies and gentlemen, thank you for standing by. And welcome to the H.B. Fuller Third Quarter 2017 Investor Conference Call. This event has been scheduled for one-hour. Today's conference is being webcasted live and will also be archived on the Company's Web site for future listening. At this time, I will turn the meeting over to our host, Director of Investor Relations and International Finance, Mr. Maximillian Marcy. Sir you may begin.
Maximillian Marcy: John, good morning and welcome to our fiscal year 2017 third quarter earnings call. We have two speakers today, Jim Owens, our President and Chief Executive Officer and John Corkrean, our Executive Vice President and Chief Financial Officer. As always, after our prepared remarks, we will have plenty of time to take your questions. Let me also remind you that comments made by me or by others representing H.B. Fuller may contain forward-looking statements, which are subject to risks and uncertainties. Our SEC filings contain additional information about factors that could cause actual results to differ from management's expectations. These filings can be found on the Investor Relations section of our corporate Web site at hbfuller.com. Also, please note that our comments may include references to non-GAAP financial measures. These results should not be confused with the GAAP numbers in yesterday's earnings release or the GAAP numbers we will report in our Form 10-Q. We believe that the discussion of these measures is useful to investors, because it assists in understanding our operating performance and our operating segments, as well as the comparability of results. A reconciliation of these non-GAAP measures to the nearest GAAP measure is provided in the earnings release our Company issued last night. With that, I will turn the call over to Jim Owens.
Jim Owens: Thanks, Max, and thank you everyone for joining us today. We generated a lot of positive momentum during the third quarter, and delivered EPS growth, which was 5% above prior quarter and in line with our expectations and our guidance for the quarter, despite the impact of hurricane Harvey. Our business generated revenue growth of 10% ahead of expectations, and pricing actions have been implemented to offset raw material costs and drive further growth in EBITDA dollars. SG&A costs were well managed across all of our businesses and EBITDA margins improved across most of our businesses. We accomplished this improved performance while working through the recently announced Royal acquisition, which will strengthen our Company and bring us to our 2020 targets ahead of plan. As we move through the remainder of the year, pricing actions taken will enable us to deliver higher gross margins consistent with our 2017 guidance and the goals in our 2020 plan. Earlier this year, we outlined three areas of focus for successful progression of our 2017 financial results. The first was to implement price increases and raw material and product substitutions that would enable us to offset the increase in raw material prices. We successfully raised prices on products during the quarter, which began to offset raw material costs and drive sequential margin improvements. Second, we committed to continue taking the actions needed to return construction products to double digit EBITDA margin by the second half of the year. We accomplished this objective earlier than expected with construction products recording an EBITDA margin of over 10% on average for the past two quarters. Lastly, we plan to continue to drive double-digit sales growth in Engineering Adhesives, high single-digit sales growth in Asia Pacific and sustainable organic volume growth in Americas and EIMEA segments. We accomplished all of these goals as well. These accomplishments are keeping us on course to a successful year in 2017 within the EPS guidance set at the beginning of the year. More importantly, the market share gains we have made, along with the pricing and strategic actions we have taken, have built further momentum towards the delivery of our 2020 revenue and EBITDA targets. Before I walk through our segment performance, I want to talk for just a few short minutes about Royal and Hurricane Harvey. We announced about a month ago that we agreed to acquire Royal Adhesives, and we have spent a lot of time with many of you discussing the transaction. Over the past month, we have been building the detailed plans that will deliver the benefits that this transaction will bring to our Company, our employees and our shareholders. There are a few points that we want to make sure we highlight today regarding this complementary combination of two great adhesive businesses. First, the Royal business that we are acquiring is a continuation of our 2020 strategy. Our stated goal was to grow in more highly specified markets in order to enhance our business mix and to drive margin enhancements. Royal does both of these things and provides further opportunities for growth and enhancement of our long-term goals. Second, the cost synergy plan we discussed was a very detailed plan developed from the bottom up. The largest opportunity comes from procurement, which should be realized primarily within the first 18 months. The remaining synergies in manufacturing and SG&A, which also include our dissynergy estimates, will be realized by the end of the second year and are very achievable. The integration is not at full scale consolidation and will not be disruptive to Royal’s or H.B. Fuller’s businesses. This allows us to focus on delivering the growth synergy, which is achievable by combining these two strong adhesive businesses. And third, we want to clarify our comments around accretion. The 5% accretion number we communicated for the first year of the deal is a GAAP net income accretion number. There will be amortization created in the transaction of approximately $50 million as an incremental expense. Therefore, on a cash basis, the transaction is accretive by about 25% in the first year. We are very excited about closing this transaction, and are in the process of raising the required financing. We expect to close in mid-October when the regulatory review should be completed. Let me spend just a minute discussing Hurricane Harvey. Harvey landed in Texas one week before the close of our third quarter. This event had a devastating impact on many people’s lives. And through our foundation and the generous support of our employees, we are helping those in need. Harvey impacted the petrochemical business, which is strategically located in the Gulf of Mexico. For H.B. Fuller, I am happy to report that all of our employees are safe and only a few had serious damage to their homes. We shut down production of our two Houston based facilities prior to the hurricane to ensure the safety of our workforce. Our manufacturing facilities sustained very minimal damage and we’re up and running within a day of us being able to enter the facilities, which was less than a week after Harvey made landfall. Although, there was no damage, we did lose about a week’s worth of production and distribution, which reduced revenue by over $3 million and earnings per share by about $0.02, mostly on our Construction Products business. In addition, as I mentioned a moment ago, the Gulf region is a major petrochemical hub and a source of many of our raw materials. Given the damage to the supply chain of certain materials, some remain in tight supply and are therefore more expensive in the short-term. H.B. Fuller has secured ample capacity of the materials, which we needed. Sometimes at a higher cost in order to ensure our production is not impacted. We have factored these costs and our market actions into our fourth quarter projections. Because of the temporary impact of Harvey, we have slightly lowered the midpoint of our guidance for the fiscal year. I’ll now walk through the segment performance in the third quarter. In the Americas segment, overall growth continued to be strong with sales up 16% year-on-year, including the impact of the Wisdom acquisition. Organic volume grew over 6% year-on-year, driven by good growth in all of our core markets. Pricing was positive versus the third quarter of the prior year. We’re pleased with our overall revenue performance for the quarter. Raw material costs remained elevated in the third quarter, and our announced price increases were implemented. Some of which impacted the results in the third quarter with the full impact we’ve seen in the fourth quarter. We still expect that the pricing we have implemented thus far and the synergies to be generated from the Wisdom business will drive EBITDA to around 17% in the final quarter of the year. Our Construction Products business continued to improve the efficiency of operations. We closed our facilities in the Gulf region during Hurricane Harvey the last week of the quarter, which is a temporary loss of revenue that was shifted into the fourth quarter. This lower level of revenue had a temporary negative impact on margins as the fixed costs continued during the facility closure. EBITDA margin was just below 10% for the quarter. We will improve profitability sequentially in the fourth quarter, achieving a profitability goal of double-digit EBITDA margin over the majority of the year, and we expect positive top-line growth in Q4. Moving now to our EIMEA segment, we delivered 10% constant currency growth, primarily driven by volume growth in the emerging markets and strong growth in durable assembly across all geographies. We anticipate mid-single-digit volume growth for the final quarter of the year in EIMEA. From a profitability perspective, we delivered a solid EBITDA margin of 11.5%. Positive pricing offset increased raw material cost and was the primary driver of the year-over-year increase in margin. We expect EBITDA margin to improve again in the final quarter of 2017 as our pricing actions and continued cost reduction efforts drive further benefits. And while we do expect margins to be slightly lower than the fourth quarter of last year, when margins were significantly higher than trends. Now, turning to the Asia-Pacific segment. Constant currency growth was 10.5% versus the third quarter of 2016 with strong volume growth in Greater China. We are very pleased with our revenue performance and expect to maintain this solid momentum as we close out the year. From a margin perspective, Asia-Pacific was weaker versus the prior year, but margin dollars were essentially flat. The strong volume growth was offset by higher year-on-year raw material cost. In Engineering Adhesives, organic volume growth remained robust, up over 18% versus the prior year’s third quarter. This was led by good growth in electronics and structural adhesive businesses. Excluding the additions of final acquisition impact from Cyberbond, organic revenue grew over 17%. We expect to continue our strong volume growth trend for the remainder of 2017 in line with our long-term target of 15% annual sales growth. Our Engineering Adhesives adjusted EBITDA dollars increased by nearly 30% in the quarter as margins improved to nearly 14% over 100 basis points above the third quarter of the prior year. Raw material costs were slightly higher than prior year, but strong revenue growth up to drive fixed costs leverage, driving the EBITDA margin improvement in line with our strategic commitment. We expect continued year-over-year improvements in EBITDA dollars and EBITDA margin for the final quarter of the year. Overall, it was a positive quarter for H. B. Fuller with strong volume growth, positive pricing and EBITDA dollars, increasing even though raw materials were up significantly year-over-year. Our performance this quarter was in line with our strategic plan to grow in Engineering Adhesives in emerging markets, while maintaining strong margin performance in our core European and Americas business. Now, I’ll turn the call over to John.
John Corkrean: Thanks, Jim. Jim provided a few highlights of the third quarter results, and I’ll provide some additional financial sales. Organic volume grew 5.7% versus last year’s third quarter. Four of the five segments again delivered strong volume growth led by double digit growth in Engineering Adhesives. Asia-Pacific volume grew to over 9% and the Americas and EIMEA delivered mid single digit volume growth, stronger than the long-term plan. Acquisitions added 4.2% to growth while mix was slightly unfavorable. Pricing actions to offset raw materials drove positive year-over-year price realization across most segments. We expect our pricing actions to drive continued positive revenue growth for the remainder of the year and provide solid momentum as we enter 2018. Foreign exchange continued to have a negative impact on revenue. In the emerging markets, specifically Egypt, Turkey and China, Europe did not begin to strengthen until late in our third quarter. As we move into the fourth quarter, a stronger euro and the annualization of the emerging market currency weakness should drive incremental revenue growth. Adjusted gross profit margin declined versus last year, but the primary drivers of the lower year-on-year margins being higher raw material costs and the dilutive impact of Wisdom, which has a lower gross profit margin and lower SG&A. Adjusting for wisdom, gross profit margin was down about 70 basis points year-on-year. As anticipated and discussed during the prior quarter’s earnings call, the highest year-over-year raw material increases came in second quarter. Previously announced pricing became effective during the quarter and will offset the raw material costs, and will result in sequential margin improvement in the final quarter of the year. Adjusted selling, general and administrative expenses increased approximately 4% in the third quarter versus the prior year. Adjusting for acquisition and lower variable comp last year, SG&A was down slightly year-on-year as a result of the restructuring actions we announced in December, as well as softer control of discretionary expenses, offset by continued investment in the fast growing parts of our business. The net of this resulted in adjusted diluted earnings per share of $0.65 for the second quarter, in line with our guidance. With that, let me now turn to our guidance for the final quarter of 2017 fiscal year. Foreign currency continues to be volatile. However, based on current foreign exchange rates, we expect FX to negatively impact 2017 revenue growth by about 2%. We expect constant currency growth of approximately 10% for the year on a comparable 52 week basis. Acquisitions account for approximately four percentage points of the constant currency growth. As a reminder, our fourth quarter 2016 included an extra week. This will reduce net revenue growth by about 2% for the 2017 fiscal year, reduced the fourth quarter of 2017 net revenue growth by about 7% to 8% compared to 2016. Therefore, full year net revenue growth should be approximately 6% versus 2016 fiscal year. We now expect full year EBITDA to be up about $290 million, which equates to EBITDA margin of about 13%. Cash flow was lower in the first half of this year due to intentional inventory build ahead of raw material increases and as we build safety stock during the wisdom integration. We saw improved operating cash flow of $39 million in the third quarter based on strong volume performance and improved pricing. However, inventory levels remained higher than historical trends as a result of pre-buying ahead of Hurricane Harvey and other factors. We expect inventory levels to return to historical levels in the fourth quarter and we expect between $175 million and $180 million of operating cash flow for the 2017 fiscal year. Capital expenditures are now expected to be approximately $50 million versus our previous estimate of $60 million for the year as certain resources will be shifted to focusing on the Royal integration in fourth quarter. For the year, we’re nearing our full year EPS guidance range to between $2.57 and $2.62, reducing the high end from $2.67. This range represents 6% to 8% EPS growth versus the comparable 52-week 2016 fiscal year. The primary driver of the narrowing of our range is the impact of Hurricane Harvey. We lost about a week of revenue in our Construction Products business during the shutdown, and we are experiencing some pricing pressure on certain raw materials due to the constrained supply chain in the Gulf region. This is a transitory phenomenon that should return to normal later in the fourth quarter. This guidance equates to EPS of $0.82 to $0.87 per share in the fourth quarter. With that, I’ll turn the call back to Jim Owens to wrap this up.
Jim Owens: Thanks, John. We continue to make progress against the key initiatives we outlined for the 2017 fiscal year, delivering solid sales growth in Americas, driving exceptional volume growth in Engineering Adhesives, and a return to historical operational levels in Construction Products. Gross margin expansion will occur in the coming quarters as price increases impact our results. In the face of volatile economic factors, like currency, raw materials and even unexpected weather events, we continue to deliver results in line with our financial commitments. Our 2020 plan has us growing the top-line, improving EBITDA margins and effectively investing the free cash flow generated by the business. We expect to see strong performance in our current business during the final quarter of this year and into next year as we drive sales growth, offset raw material increases with strategic pricing actions and deliver on our cost savings initiatives. Our underlying business is on track to deliver 2017 performance and has strong positive momentum toward our 2020 strategic objectives. The addition of Royal for 2018 will build upon that momentum and have a dramatic positive impact on our financials, and will also strategically accelerate our Company’s position in highly specified adhesive markets. The combination of our existing business and Royal will be a powerful combination. This is the end of our prepared remarks. So now, we look forward to answering your questions.
Operator: The Company would like to provide everyone the opportunity to ask a question [Operator Instructions]. And we’ll take our first question from Ghansham Panjabi with Robert W. Baird.
Matt Krueger: This is actually Matt Krueger sitting in for Ghansham. How are you doing today?
Jim Owens: Hi Matt. Good, thanks.
Matt Krueger: So you gave some great detail on the impact of Hurricane Harvey across your business. I was just hoping that may be you could provide some additional details on the impact from other severe weather and natural disasters on your operations. Do you expect any impact, positive or negative, as we move throughout FY17 into FY18, particularly?
Jim Owens: Yes. So I would say for Irma, we had minimal impact. We had plant in Florida that was down for a short of time. And again, our employees’ situation was well managed and we’re supporting in the situation. We have no facilities impacted by the events in Puerto Rico or Mexico. So I would say in terms of fourth quarter, no short-term impact from those events. We do anticipate some uptick as a result of construction and building in 2018. We haven’t quantified that yet. But certainly, the aftermath events like this builds some construction momentum and we expect both in Florida and Texas, which our business is a flooring business mostly, has a positive impact for our business. The Royal business has a roofing business that will also positively be impacted as well. And that will be part of our portfolio in 2018.
Matt Krueger: And then just touching on price cost a little bit. How should we think of your price costs cadence on a forward looking basis as we move into the fourth quarter and then FY18? I know you gave some good commentary on 4Q. But to ask this in a different manner, if raw materials were flat at current levels, how long would it take for pricing to catch up to how far raw materials have inflated?
Jim Owens: Yes. I would say that we -- if we didn’t have the raw material impact, we were well on track for Q4 to be mostly recovered. We now have the additive effect of Harvey increases and more raw material increases that will be putting forth in Q4. So I would say, based on the current situation, we should be -- you’ll see a sizeable uptick in Q4 and probably further expansion in our gross margins in Q1, given the timing of the Harvey costs and our price increases.
Operator: We’ll take our next question from David Begleiter from Deutsche Bank.
Katherine Griffin: This is actually Katherine Griffin sitting in for David. So Q3 was a good quarter for volume growth in Americas Adhesives. Could you just discuss the drivers of the 6% volume growth, and maybe what your expectations are for volumes in that segment in Q4?
Jim Owens: So the teams are doing a really nice job of managing share gain. We had some corporate wins in our packaging business that have had positive impact. We’re a leader in the hygiene space, and we’ve done a good job of winning both with some innovations with some of our larger corporate accounts, but also some of the mid market players in North America and Latin America. Remember, Americas is also Latin America. And then there is couple of innovations in our durable assembly business. So those are the underlying pieces that are driving the growth. I don’t think we have specific guidance toward next quarter on volume. But I would say it would -- we’re pretty pleased with this number, it's probably above trend here. It’s 6%. But positive single-digit volume growth is what we expect for the rest of the year.
Katherine Griffin: And so on Q2 earnings call, Jim, you had mentioned expectation of close to 15% EBITDA margins in Q4. So has that outlook changed given where margins are today, and given what selling price versus raw material dynamics have been? And are you still expecting to see that margin improvement in the second half of the year versus the first?
Jim Owens: We have an interesting trend in our business. Q3 is usually lower than Q2 and then Q4 is higher. So we have the positive momentum there, plus the positive momentum of pricing. So we do see a sizeable uptick in Q4. Whether we hit 15 or given the revenue numbers, I think you’d probably see something a little shorter 15, but certainly between 14 and 15 would be the way to look at it. But a sizeable uptick quarter-to-quarter is what you should expect based on how our business runs.
Operator: And we’ll take our next question from Eric Petrie with Citi.
Eric Petrie: Could you just talk about what end markets or specific products lines you have in Engineering Adhesives driving that 18% volume growth? And do you expect to raise your long-term target of that 15% CAGR?
Jim Owens: So yes, I think it’s broad-based across the Engineering Adhesive business. So we’ve got nice wins there. And I would say the most positive momentum is in our electronics business we specified on a lot of new applications, and that continues to grow and be an impressive business for us. And we’re moving into new and different parts of electronics. So the advanced nature of some of the products that we’re developing and the wins we get are very impressive. So very highly specified materials that are driving that. In automotive, we’ve done a nice job of globalizing some of the wins that we had that were driven out of our very strong business in Southern Germany, working with the two major manufacturers there. And we’ve taken some of that technology and leveraged it broadly. So we’re getting specified in the new products in those areas. And then the other piece is the Tonsan business that we bought. We’ve been globalizing some of that technology, as well as bringing in new technology to Tonsan. So all of those factors are very positive, and we feel really good about it. We’re at 17%, 18%. We said we’d be 15%. I don’t think we’re going to change that guidance. I think we’ve proven ability to deliver 15% CAGR overall. And what I’d love to see more of course are we striving for more? Yes, but I think 15% target is the right CAGR, especially as the business continues to grow, like 15% on a bigger number is a good thing. Does that help, Eric?
Eric Petrie: Yes. And the EIMEA business, what is core volume price trends there versus the more emerging market?
Jim Owens: I would say we don’t split that out, generally speaking. But I would say, core volume in Europe is about flattish, may be slightly positive and the growth comes from our emerging markets. We had a great business in India. Our team in the Middle East is strong. We’ve made some investments in Africa. So Turkey is a strong business for us. So I think the way we look at it is if we can keep Europe at low single-digit strong margin performance and then grow in those regions, we get the right balance for our EIMEA business. And that fits with our strategy as well, Eric, as you know. So our strategy is to grow more in those markets.
Operator: We’ll take our next question from Rosemarie Morbelli with Gabelli and Company.
Rosemarie Morbelli: Thank you. Good morning everyone, and congratulations. I was wondering if you could elaborate a little more on the new application for your -- within the electronics market for your Engineering Adhesives? And then if you could also talk about the progress you have made in globalizing Tonsan?
Jim Owens: So, on the electronics, we started mostly with assembly of products. So if you think about the easiest example there’s a lot of examples, our cell phones. The advanced automated processes that are happening, not just with the biggest player but with other players in that market, are driving changes. And when people change and how they make their product that usually opens an opportunity for adhesives manufacturer. So the assembly of the various components, putting them together, drives a need for adhesives. And that’s a big area where we’re technologically solving the problems that our customers have, whether it’s an application problem, durability of the end commodity problem, and we solve that. We’ve also had some success in area we’ve invested quite a bit is to start working on some microelectronics applications, so that you can ensure the reliability of the microelectronics. And that’s a second area where we’ve seen probably less of the growth but more of the more recent win. So as far as -- so that’s a sense of what our electronics business is, But it’s all the devices that we have, whether it’s something as ubiquitous as our cell phones, to televisions, to all kinds of dishes and other materials, they all have to bounded together with adhesives. In terms of Tonsan, yes, I would say we had couple of the biggest wins that have generated the growth. One is the Cyberbond acquisition brought some technology that we had a readymade team in China that could drive the growth of that. So that’s been a really nice win. Comp size, as you know, Rosemarie, was a very China-centric business, more ability to connect with multinationals in Japan, in the U.S. and other parts of the world, has helped us get more specifications in China and grow our business there. And then to a smaller degree, the ability to export products from China, especially to places like India and Latin America, has been a positive growth element.
Rosemarie Morbelli: So if you look at all of the investments you have made in Tonsan in order to globalize that particular business. It sounds as though most of the progress though is selling still in China, but to international companies as opposed to just the domestic Chinese. Am I understanding this properly?
Jim Owens: More international companies in China is probably one of the biggest areas. International business has mostly gone to, as I said, Latin America and India and the business in Europe and North America is growing but that’s not a big part of the growth we’ve seen thus far. It is the biggest part of the opportunity. And as I’ve talked about with Royal, Royal really opens up those opportunities for us, because we leverage their capabilities to allow us to grow Tonsan at a faster rate. So that’s one of the real exciting synergies that sits there with the Royal deal, it's was our ability to accelerate Tonsan into North America and into Europe.
Rosemarie Morbelli: And then looking at construction. If you eliminate the impact from Harvey, could you talk about what the underlying business has done? I mean, Harvey and the extra week last year?
Jim Owens: Yes. So the margin continues to be in double-digits as we’ve committed, if you took away the Harvey impact. And revenue would have been slightly negative, right? So I would say, fundamentally, our biggest issue there is as some of you talked about was the scale up of our Royal facility. That facility now is running above the targeted levels of output. So that was the big hurdle we had to get over so that we could then get up to the ability to service and supply our customers, and also reduce some of the costs that we had outsourcing materials, and shipping materials around. So from an internal operational standpoint, we’re in a very positive mode within our CP business and we continue to enhance the performance of the overall profitability of the business. And we’re now in offensive growth mode and winning back distributors that we want able to serve us as well as we want to. So that’s why I’d say we’ll see some modest growth into Q4, and then you’ll see good positive growth, I expect in 2018.
Rosemarie Morbelli: And if I may ask one last question. You have indicated that Harvey caused you $0.02 per share in the third quarter that was only one week impact. And you will have three months in the fourth quarter. And if I look at the full impact at the high-end of your guidance then you are looking on the $0.03 for an entire quarter. Could you help me understand why the impact is not substantially higher in the fourth quarter?
Jim Owens: So yes, I would say two things happened with Harvey. But we have the unfortunate situation in Q3 where our plant was shut down. So they were supposed to send material to customers. We would have gotten that revenue, because the plan was shutdown, we didn’t shift those products to customers. Those sales came into Q4. We’ve already had those sales. So that $0.02 impact was not a full year impact, it was just a shifting from Q3 to Q4. The second issue is with Harvey is the fact that because raw materials are tight and certain raw materials have availability issues, we’re paying more for raw materials. We’re also raising prices. So we’ve done a detailed analysis of all the materials. First off, we have full supply of all the materials that we need. But the net of the costs and the timing of our prices has us with -- what we’ve estimated to be about $0.02 to $0.03 of impact in Q4. So two different effects, the one that affects us in Q4 is really the raw material and supply chain problems that are hitting the chemical industry. For us, it’s been a minimal impact. I think some chemical companies have a much higher impact either because they don’t have as many contracted raw materials maybe they don’t have global supply chains for certain materials. We’re able to manage that in a way that the net impact is going to be about $0.02 to $0.03 when we consider it. So does that help clarify, Rosemarie?
Rosemarie Morbelli: Yes. It does. Thank you.
Operator: We’ll take our next question from Mike Harrison with Seaport Global Securities.
Mike Harrison: Just looking to go a little bit further on the questions that Rosemarie just had about the Harvey impact. Wondering what is the potential timing of benefits from the rebuilding efforts. You mentioned the construction products business could see a benefit there. You also mentioned that maybe Royal could see some benefit in the roofing area. Is that something that would help the November quarter, or is that something that’s more like six to 12 months out?
Jim Owens: We’ve tried to do some research on this. I don’t have a good -- so first off, I don’t know on Royal. So I don’t have an answer there. I don’t think it’s based on what we know going to impact the Q4 results in any material way. So is that correct, John?
John Corkrean: Yes, that’s right.
Mike Harrison: And then one also ask about the strong pricing realization that you got in the EIMEA segment. But it looks like you didn’t get very much in the America that you did turn positive, but not very positive. Can you help us understand why there is that discrepancy on the pricing front in those two regions?
Jim Owens: Yes. So I’ll comment broadly, maybe John can give more color. We manage our pricing strategically to balance the when, the where, and the how of pricing. So I think we’ve made some strategic decisions around North America that had the timing as such plus the raw material timing was a little different in North America. So it’s really a timing aspect. It’s about when and how -- and how hard to push with certain customers as you go through these processes.
John Corkrean: Yes. The other aspect you have to remember Mike is that a lot of that pricing we’re getting in EIMEA or the higher number you see over the Americas is in the emerging markets where we’ve had some currency devaluations in Egypt and Turkey. So we took actions late last year to get pricing in those two geographies, and that’s what’s driving a good amount of that pricing you’re seeing in the EIMEA in this quarter and for the full year.
Mike Harrison: And then just looking at the Asia-Pacific business, you’ve posted your pretty looking year-over-year volume growth. The revenue number was similar to last quarter, but the margin was down quite a bit versus last quarter. Can you just help us understand what’s driving that big change in margin performance in the third quarter versus the second quarter? And may be what does that mean for Asia-Pacific margins in the fourth quarter and beyond?
Jim Owens: Yes. So let me -- I’ll give some perspective and then maybe I’ll let John again get into some more specifics. But yes, I think this business has a bit of lumpiness quarter-to-quarter. I talked about the seasonality in some of our businesses. There is also an Australian dollar impact that varies quarter-to-quarter in that business that has an impact. So given the size of the business, we tend to consider where we’re at year-to-date more than we would on a quarterly basis. But we don’t see anything -- we look into details around this business, we’re optimistic about what’s going to happen here in Q4 and overall this business is going to hit or exceed its plan for the full year. So John do you want to comment?
John Corkrean: Yes, I think that’s right. Yes, I think it is a little bit lumpy. You need to -- I think if you look at the business on a year-to-date basis, EBITDA margin is up about 20 basis points year-on-year and we would expect the full year to be up, may be a little bit more than that. And that’s in light of some pretty stiff raw material headwinds. And we’re happy with where margins are going, even though they’re a little lumpy in the business obviously and continue to show really good pipeline growth.
Mike Harrison: I guess, maybe just to get a little more color on it, though. Is this a mix that’s different this quarter versus last quarter? Was it loss that moved on you in this quarter versus last quarter? I am just trying to understand the discrepancy on a similar revenue number?
John Corkrean: It is mainly expenses Mike and just the timing on them. So both in manufacturing and SG&A, we’re a little heavier this quarter than last quarter, and that’s primarily timing. It’s not mix or raw materials really.
Jim Owens: And the timing of the strengthening of the Australian dollar, so those two things.
Operator: We’ll take our next question from Jeff Zekauskas with J. P. Morgan.
Jeff Zekauskas: Thanks very much. In the quarter, you excluded about $10 million in SG&A costs. Can you detail what’s in the $10 million?
John Corkrean: Sure. The biggest item is related to Royal transaction cost. So we have roughly $5 million of Royal cost that hit in the quarter that were deal costs. The other pieces Jeff would be made up primarily of some restructuring costs associated with the plants we announced last December, and then the SAP roll out related costs, which have been in our number the last couple of months. Those have actually ticked up a little bit as we’re nearing go live for Latin America wave.
Jeff Zekauskas: In Engineering Adhesives, your sequential revenues grew about $4 million and your EBITDA grew about $4 million. Why is that?
Jim Owens: I’d love to tell you, because it’s all 100% margin business. Again, timing of expenses is probably the best description of some of the things that we’re doing in that business. And then there is a pretty sizable mix phenomena that happens in our business. So we have -- it’s a very high margin business overall, but there’s some that are very, very high and some that are moderately high. So depending on mix of those that drives it. So we had some very nice wins this quarter.
Jeff Zekauskas: Were raw materials up at a mid single-digit rate in the quarter. And in the fourth quarter, all things being equal, do you expect your price raw material relationship to expand or contract, or stay the same?
Jim Owens: Yes, I’ll let John answer the raw material single-digit question. So are you talking about versus last quarter or versus prior year, Jeff?
Jeff Zekauskas: Versus prior year…
John Corkrean: So I think we have said that we expected raw materials to be up in the 2% to 3% range for the full year. We still think that’s roughly right, although, there’s probably a little pressure on that from Harvey. The pricing is taking hold in the third quarter and we’ll see more in the fourth quarter. So that relationship will improve even though there is a little bit of pressure from a material standpoint. So we would expect those profit margins to improve sequentially from Q3 to Q4.
Jeff Zekauskas: So in the fourth quarter, why are you getting any price at all in the sense that as you’ve described it, it sounds like you have some higher raw material costs because of Harvey that you expect to go away a few months later. So are these surcharges that you’re placing that customers are accepting or is it something more than that?
Jim Owens: So we have some pricing that, as I mentioned, have been delayed in the Americas, some of the prices that -- and actually given Harvey, they’ll probably take traction a little better than they would have otherwise. We do have some surcharges. We put on certain polymers that we sell and those have already been implemented. But I think we have some other pricing that’s being implemented that we see as a sustainable price increase related to positioning of products and managing the dynamics that are here in the market. So we look at pricing pretty holistically not necessarily as raw material pass through to drive our net-net performance. But I think what’s happened in the market, we’re very optimistic about especially in the Americas, our fourth quarter pricing.
Jeff Zekauskas: Are you still waiting for regulatory clearance for Royal?
Jim Owens: Yes. But we expect to have no issues with that. So it’s 30-day wait period typically in both the U.S. and Germany, and those both and some time in first or second week in October. But all indications from the feedback that we have are very positive.
Jeff Zekauskas: So if you had to guess, what day would you close?
Jim Owens: If I had to guess, I would guess October 20th, or 23rd somewhere…
Jeff Zekauskas: Okay. Thank you so much.
Jim Owens: Thanks Jeff. Thanks for the questions, the detailed questions.
Operator: And we’ll take our next question from Dmitry Silversteyn with Longbow Research.
Dmitry Silversteyn: I just want to follow-up maybe an earlier question and not specific to any division, but just in general as we look at the gross margin in the quarter. I mean it did improved sequentially, but probably not at the level that the people expected. So if you hit the parcel out between the Harvey impact and the shutdown and the impact that had in your distribution of sales disappearing versus mix, versus raw material pressures, versus variable costs that just happened on timing issues from quarter-to-quarter. How would you describe the headwinds that you may have experienced in the gross margin line for the Company overall, not necessarily in any given segment?
Jim Owens: So I would say, in Q3, we had -- from a gross margin standpoint minimal, if any, Harvey impact. But we did do some pretty buying of some raw materials but I don’t feel it affected our margin. So I would say relative to what some people expected, I think the timing of price increases, particularly in North America was probably delayed and the still over some raw material increases. But I would say we’re strategically managing our pricing and making certain that we get it and retain on market position. So where it made sense made some delays and that’s for other biggest factor, more so than raw materials being up or certainly manufacturing cost.
Dmitry Silversteyn: Secondly, I think you’ve touched on various aspects, but I’m just kind of looking at the overall more of a [sementical] commentary here. You put out some pretty good numbers in EIMEA for the first nine months, and it sounds like you expect that momentum to continue for the rest of the year, and into next year. It seems to be growing a little bit faster than the region overall, or than the adhesives business in that region. So can you comment on -- maybe few pockets of growth that you’re getting or broader trends, or something that you’re doing internally that are helping you with the volume recovery in Europe?
Jim Owens: Yes. So I’ll talk broadly and maybe John can add color where it makes sense. We’ve got a really strong team there that understands the markets, overall. And they work well as a team and I think they support the whole region, including India and Middle East, Turkey, Africa. So we have teams in those regions but the European team helps by being well connected to those regions. So within core Europe, until our businesses are solidly performing at market performance levels except durable assembly, where we’ve had a few innovations that have driven some other growth, and so durable assembly is an area that we’re seeing some higher than trend market share gains in core Europe. And then across the region, we’re still seeing very good performance in Turkey. Our India team continues to do a great job. We’ve made some investments in Dubai. Those are paying off. And then we have some nice incremental growth in Africa. So while that’s a smaller portion of our business, it’s growing nicely. And I think that’s driven though by the strength of our European team that drives that as responsibility for it.
John Corkrean: That’s right. We’re seeing solid low-single-digit growth in Europe, and a little bit maybe above the economy growth. It’s really the emerging markets. And in particular, the Turkey and India business have been very strong years. And that’s helped hygiene, in particular, in the third quarter, they had a strong quarter. They had a strong third quarter, which was really an emerging market phenomenon.
Dmitry Silversteyn: And then final question, just given that we are in inflationary environments here in petrochemicals and up through the chain into the products that you guys are selling. Obviously, customers know that the price increases are coming and will continue to come probably for the time being. Is there any concern or any evidence of some inventory building by your customers ahead of the price increases that should be hitting in at the end of the year, or I am assuming there’s going to be another round into next year? In other words, if I am looking at the fourth quarter and the 13 weeks versus 14, and trying to figure out what the sustainable top-line volume growth for you guys. Is there any distortion that’s happening towards the end of the year from customers building inventories perhaps in anticipate of higher costs next year?
Jim Owens: Certainly, we don’t see any thus far. I think typically, Dmitry as you know, in our business because adhesives is such a small portion of what people buy, we don’t see a lot of uptick in inventories. So we’re not anticipating a big push for inventory build. But I guess there’s a possibility of some, especially as people have supply shortages, and I mentioned that. Our team has done a great job, because we have a lot of contracted roles of not having supply shortages. But when people see some of that, there may be some overbuying. But we’re not anticipating a lot of that in our business, and we don’t typically see that in our business.
Operator: [Operator Instructions] We’ll take our next question from Curt Siegmeyer with KeyBanc Capital Markets.
Curt Siegmeyer: Good morning, everybody. Just one on Construction Products, you mentioned margins did improve year-over-year, but volumes being down 9%. I guess, I was just wondering you mentioned the facility closure hampering some growth in that business. So I was just wondering what the drivers of the volume decline were if it was all that and how you were able to increase margins despite that?
Jim Owens: Yes, I would say that business has a wide array of products and we’re a specialty high end provider of adhesives and grouts and other materials. There are some lower end products. And I think issues I mentioned in terms of market share were more on those lower end products. So there’s more a mix phenomena than anything else that had the volumes where they were. In addition to as we said, Hurricane Harvey was not impacted to us to a degree. But in terms of the difference between revenue and volume, that’s mostly mix.
Curt Siegmeyer: And then just one on the guidance, you mentioned obviously the top-line on EBITDA and EPS trimmed due to the hurricane impact, but you were -- or you did increase your overall top-line outlook from 9% last quarter to 10%. So I was wondering is that more growth expected from acquisitions, or is that better organic sales growth that you expect in the fourth quarter?
Jim Owens: Yes, there’s no additional organic growth built into that number. So I would say that’s the way the math works with the pricing that we have, and probably that alone probably explains most of it.
John Corkrean: Yes, that’s right. It’s a little more pricing that we’ll be getting in the fourth quarter.
Curt Siegmeyer: And then a clarification, if I heard you guys right. Did you say you expect 17% EBITDA margins for 4Q? is that right?
John Corkrean: That was in Americas.
Jim Owens: So 70% range. I think the point is this is the quarter where you’ll see that tick up given the work that’s going on in that region.
Operator: [Operator Instructions].
Jim Owens: So that concludes today’s call. I want to thank everybody for all your support and all of your interest in H.B. Fuller and our strategy. Thanks.